Peer Schlinkmann: Good afternoon, everybody, and welcome to the 9 months earnings call of the Wacker Neuson Group. My name is Peer Schlinkmann, Head of Investor Relations and Corporate Communications. Thank you for joining today on the occasion of the release of our 2025, 9 months results. As usual, we will first start with the operational and financial results of the 9 months 2025 and give additional insights on the recent developments. Following this, we are happy to answer your questions in the Q&A session. Available to follow today's call via the webcast, the presentation slides are also available for download at wackerneusongroup.com/investor-relations. Please note that the entire call, including the Q&A session, will be recorded and a replay will be made available on our corporate website by the end of the day. And now I would like to hand over to our executives, Karl Tragl and Christoph Burkhard, who will lead you through this call.
Christoph Burkhard: Thank you, Peer. This is Christoph Burkhard, CFO of the Wacker Neuson Group. Welcome, everybody, to our earnings call, and thank you for joining.
Karl Tragl: Dear all, a warm welcome from my side, too, and thanks again for joining the conference call. I'm Karl Tragl, CEO of the Wacker Neuson Group. I would like to start the presentation with a brief overview of our key financials for the first 9 months of 2025. Our operational recovery continued in quarter 3 of 2025. Despite a challenging macroeconomic environment, which had especially weighed on the first quarter of this year, we were able to increase both our revenue and EBIT margin in quarter 3 year-over-year. This positive development is, among other things, the result of efficiency measures that we initiated last year. Now let's take a closer look. Our revenue for the first 9 months of 2025 amounted to EUR 1.625 million, marking a 5.6% decline year-on-year. This decline was primarily due to the weak first quarter of 2025 as well as persistently weak demand in the U.S. Our 9-month EBIT margin in 2025 amounted to 6.0%, which is 0.3 percentage points below the previous year. Also here, we were negatively impacted by the weak beginning of this year. However, it is apparent that we have succeeded in further stabilizing our improved profitability. The EBIT margin in the third quarter was at 7.5%, thus nearly on the same level as in quarter 2 2025 despite the lower revenue base of quarter 3. Moreover, this quarter's EBIT margin was 2.7 percentage points higher compared to quarter 3 in 2024. Looking at the net working capital ratio, we see a slight decrease compared to previous year. However, our yearly strategic target of approximately 30% remains under pressure, especially due to the uncertainties in the U.S. market. Our free cash flow surpassed the triple-digit mark and amounted to EUR 116 million. Christoph will explain both developments in more detail. Now let's look at the developments of our business segments after the first 9 months of this year. In general, the overall picture remains challenging. Recovery of compact equipment was slower than initially expected. It faced a year-on-year decline of 10%. Nevertheless, certain product groups like dumpers differed from the general trend, demonstrating resilient customer interest in our innovative products. The Light Equipment Products segment stabilized and remained only 1% below the previous year. And moreover, services grew again year-over-year by 1%. The 9 months year-to-date book-to-bill ratio was at 1.1. Nevertheless, we see the agriculture as well as construction industries recovery slower than initially anticipated. We, therefore, keep monitoring our markets closely, and we remain cautious regarding the developments in the last quarter of 2025. Let's take a closer look at our regions during the last 9 months. Revenues in the Europe region, EMEA, after 9 months of 2025 stood at EUR 1.269 billion and made up 78% of our global group revenue. Also, quarter 3 of 2025 revenues increased year-over-year. The 9-month revenues remained 4% below the prior year, still impacted by the negative effects of the weak first quarter. Moving to Americas region, accounting for 20% of our group revenue, we saw a decline of 10%, resulting in revenues of around EUR 322 million. Demand in the first 9 months of 2025 was further characterized by greater caution in ordering behavior in the U.S. compared to Europe due to ongoing macroeconomic and geopolitical uncertainties, mainly due to the effects of the U.S. tariffs. Demand declined not only in the U.S., but also in Canada and Mexico. In the Asia Pacific region, which represents 2% of our business, revenue dropped by 21% to approximately EUR 34 million. The region was primarily characterized by a decline in demand in Australia and China. I will now hand over to you, Christoph, to give some more insights into our financials.
Christoph Burkhard: Thank you, Karl. Let's take a closer look at where we stand with our net working capital. Our net working capital ratio based on the last 12 months revenue at the end of September stood at 32.4%, slightly below the value at the end of the second quarter in 2025. In comparison to last year's figures, however, the progress we made is more apparent. Over the course of 12 months, net working capital dropped by EUR 116 million from EUR 808 million at the end of September 2024 to EUR 692 million at the end of September 2025. This reduction is mainly driven by a steady reduction of inventories and an increase of trade payables in the last 12 months. This is the driving force behind the reduction of 1.8 percentage points of net working capital and in the net working capital ratio over the last 12 months, which stood at 34.2% at the end of September 2024. Now looking towards year-end, I expect a slightly higher working capital ratio, predominantly caused by higher inventories in the U.S. Alternatively, we could have adjusted our production plan for 2025 downwards to the current lower demand in the U.S. This again would have triggered underutilization in our European plants. In light of our stable cash flow generation and in preparation for 2026, we decided to prioritize stable production output over short-term working capital optimization, leading to this temporary increase in finished goods inventories by year-end. We believe that this is the right decision because we avoid additional underutilization costs and at the same time, we expect inventories to decrease again towards springtime due to overall market normalization in 2026. Now let's have a look at our cash flow. Although our revenues decreased by 5% quarter-over-quarter, we were able to keep our profitability stable on a level of above 7.5% on a quarterly basis. This is also reflected in our stable cash flow from operating activities. Therefore, we could continue in Q3 with a positive free cash flow generation now for the sixth quarter in a row. Due to the just mentioned rising inventories in the U.S. by year-end, I do not expect cash flow generation in Q4 to continue as in the previous quarters. However, I stick to my previously made statement of a triple-digit free cash flow number at the end of the year. Also on the positive side, we further reduced our net debt in Q3 down to EUR 258 million, reaching the lowest level since the first quarter in 2023. Consequently, also our leverage ratio reduced further down to 0.9. And last but not least, the picture of our capital structure is completed by a robust equity ratio of 60%. And with this, back to you, Karl.
Karl Tragl: Thank you, Christoph. Before concluding with the current outlook, I would like to give you an update on the implementation of our Strategy 2030. Despite the challenging market environment, along our strategic levers, we are continuing to implement the milestones, which you can see on this slide. The John Deere Cooperation is fully on track. We have successfully started delivering first serial excavators for John Deere from this. At the same time, we are ramping up the production line of our U.S. plant for further models and will start their delivery in 2026. On the chart, you see a picture of our modernized production sites in Menomonee Falls in Wisconsin. I can tell you, it really looks good. On the other hand, we have advanced our light equipment portfolio. We expanded the range of reversible plates and also introduced new battery-powered versions. The battery-powered rammers gained on efficiency through a feature called the integrated speed control. The compaction performance can now be optimally adapted to the respective application. And last but not least, we have expanded our zero emission portfolio in compact machines and added 2 models of excavators. With just a 1.2 ton operating weight, ESET 10 electric is particularly well suited for applications with a restricted floor load such as indoors. The green illuminated active working signal increases safety on both internal and nighttime construction sites. The second model introduced, EZ26 Electric is a bigger tracked zero tail excavator. Its emission-free, quiet and low vibration operation makes it the ideal choice for legally restricted or noise sensitive and environmentally critical areas as well as for special work sites with local and time restrictions. As you can see, one of our strategic focus areas remains our investment in sustainable construction. We believe that this is the future of construction, and we are ready to seize the future opportunities. Now let's move on to our outlook for the year 2025. Also, we have a stable order book development in the course of this year, market recovery is slower than we initially anticipated. Industry outlook partially stagnated as well. And moreover, we have faced a significantly weaker market demand in the U.S. due to geopolitical uncertainty as well as the tariffs. Due to supply chain issues of Nexperia, we only expect a minor impact on our production in the last 2 months of 2025. However, we will closely monitor the situation. Due to all of these factors, we have decided to narrow our yearly guidance. For 2025, we now anticipate a revenue in the range between EUR 2.15 billion and EUR 2.25 billion and an EBIT margin in the range between 6.5% and 6.8%. We expect our investments to reach around EUR 80 million and our net working capital to be at around 34% by the year-end. As we already mentioned, we succeeded in stabilizing our improved profitability in the current market environment in quarter 3 of 2025. Looking ahead, we will continue to counteract the weak market, especially in the U.S. with efficiency measures and cost discipline. For 2026, we expect market recovery in Europe as well as normalization of market demand in the U.S. Nevertheless, we still remain cautious and track our market developments continuously. Summarizing the key messages from our first 9 months. Revenue is in line to reach full year guidance. Narrowed margin guidance is driven by underlying U.S. tariff impact and geopolitical uncertainties. We are ready to seize the opportunities in the years ahead presented by the German special fund. Strong balance sheet is our foundation to execute our Strategy 2030 and drive future growth. Before we now jump into the Q&A session, let me send a sincere thank you to all our employees of the Wacker Neuson Group, who relentlessly are giving their best for our customers and our company, even more so in challenging times. So really thank you. Nobody is perfect, but a team can be. Thank you for listening. Operator, we are now ready to start the Q&A session, and we're very much looking forward to answering your questions.
Operator: [Operator Instructions] First question is from Stefan Augustin of Warburg Research.
Stefan Augustin: The first one would be actually on the book-to-bill just for Q3. And let's say, with that, maybe a little bit the progression throughout the quarter. Was that rather a stable quarter? Or was it more, let's say, weaker versus the end, something like that and the color on the current situation. That will be the first question, and I'll take them one by one, 2 more.
Karl Tragl: Stefan, thank you for asking the question. The EUR 1.1 billion in the year-to-date was driven by a lot in the April and the [Baumol] effect. In quarter 3, we have been fluctuating around EUR 1.0 billion. So it's stable at the situation.
Stefan Augustin: Okay. The next one is then a little bit more complicated, and I try to square it a little bit up. Starting from the net working capital ratio that goes up to -- in the new guidance, 34%. And you mentioned the production shipment into the U.S. Is that the right calculation to think about if you are now at 32% and you go up to 34%, that is roughly something like EUR 40 million in additional inventory. And how would this square up with shipments from Linz to the U.S. for Deere, which have been mentioned, I think, in the range around EUR 20 million for this year. Is there other shipments that are also impacted here? Or is it inventory that is not only in the U.S.? How do you need to think about that?
Christoph Burkhard: Stefan, Christoph here. Well, you need to add to your John Deere calculation, of course, the imports from Europe that are already phased into 2026. And that, of course, is easily adding up to the number that you have in mind. I don't know, could -- is that the direction you wanted to.
Stefan Augustin: Yes. I think I get this now. I just wanted to come, let's say, how do I come from the EUR 20 million to EUR 40 million, but that's a plausible answer. And then you cut on your investments. Is that actually something you abandon here? Or is that push out? And what is -- what has been, let's say, what is the cause of the lower -- the EUR 20 million lower investments? Where do you think?
Karl Tragl: Stefan, Karl speaking here. There is no major investment which has been affected by this one. It's just many smaller investments, which we just moved a little bit forward to be on the safe side on that end. So it doesn't affect any future growth or any strategic investments. I would call it, it's a normal effect of cautious cost and cash flow management in such a situation.
Christoph Burkhard: And Karl, if you allow me to add one thing here, Stefan, something that sometimes gets a little bit in the background is that our investment number does also comprise investments in terms of our sales network and sales channels. And so we are always evaluating, will we now replace a certain sales outlet. We will replace rent by a purchase of building and real estate, et cetera. So there are just some moving parts where we can be more conservative on the investment side without basically affecting the plants that are really adding to our capability for innovation. So it's not purely plant related.
Stefan Augustin: All right. And then the last one is maybe a little bit on the pricing situation. What do you see right now? Is it okay? Or is it starting to deteriorate in Europe or the U.S.? How do we have to think about that one?
Christoph Burkhard: Yes. Pricing situation, pricing expectations towards 2026, Stefan, let me differentiate between 2 major areas here. The first one is, I think we have been discussing that is the current situation in the U.S. where we encounter really difficult to increase prices. Here, we believe that -- I know it's a little bit vague, but sooner or later, I think the market will have to accept some price increases. I know this is pretty fuzzy, but that's, I think, all of us, even -- and also our competitors are calculating with this for 2026. And so the first part of the -- of our expectation that we will see modest price increases in 2026 is certainly in the U.S. And the second area for Europe, I think we will see the regular slight increase. So altogether, a slightly positive trend from our point of view.
Stefan Augustin: Okay. And finally, a bit of housekeeping question. Can you remind us on the ramping up, the phasing of the Deere operation going from this year, the EUR 20 million to what roughly bracket in '26? And when does the production start in the U.S.
Karl Tragl: Okay, Stefan, let me take the question. Karl speaking here. On the first hand, I would just want to remind us all that this is another partner who is not on the table, and we have to be careful not to jeopardize any communication from that side, especially we talk about start of production or start of deliveries. But in general, what we can say is, as I said, the cooperation is fully on track at the time we both agreed. Linz is fully operational, as we mentioned. There is start of production in U.S. by end of this year for the first model, which means then delivering next year. And as we always communicated, we are working with a 1-year interval in between 2 start of productions. So start of production of the next model is then obviously somewhere second half of next year in U.S.
Operator: A lot has been clarified. I see there are no more questions in the queue right now. [Operator Instructions] There seem no questions to be incoming anymore. So with that, I'm handing the floor back over to Peer Schlinkmann. Thank you.
Peer Schlinkmann: Thank you. Ladies and gentlemen, as we can see, there are no further questions left from you. That brings us to the end of our conference call. As usual, if you have any further questions, please do not hesitate to contact me or the entire Investor Relations team via phone or e-mail. If you would like to meet in person, please let us know or check our website and financial calendar for all relevant roadshow days in the coming months. Thank you again for joining our call, and we wish you all a wonderful winter and Christmas season. Have a great day.